Operator: Good morning, and welcome to the Park Ohio Third Quarter 2024 Results Conference Call. At this time, all participants are in a listen-only mode. After the presentation, the company will conduct a question and answer session. Today's conference is being recorded. If you have any objections, you may disconnect at this time. Before we get started, I want to remind everyone that certain statements made on today's call may be forward-looking statements as defined in the Private Securities Litigation Reform Act of 1995. These forward-looking statements are subject to risks and uncertainties that may cause actual results to differ materially from those projected. A list of relevant risks and uncertainties can be found in the earnings press release as well as in the company's 2023 10-K, which was filed on March 6, 2024, with the SEC. Additionally, the company may discuss adjusted operating income and EBITDA as defined on a continuing operations or consolidated basis. These metrics are not measures of performance under generally accepted accounting principles. For reconciliation of EPS to adjusted EPS, operating income to adjusted operating income, and net income attributable to Park Ohio common shareholders to EBITDA as defined, refer to the company's recent earnings release. I will now turn the conference over to Mr. Matthew Crawford, Chairman, President, and CEO. Please proceed, Mr. Crawford.
Matthew Crawford: Thank you, Kevin, and good morning to everyone. We appreciate you taking time this morning to join us. We are pleased with the performance during the third quarter both in terms of the overall results and with the progress we continue to make in reshaping our company as a more nimble, more profitable, and faster-growing enterprise through the business cycle. Specifically, I want to make three points. First, overall demand was stable during the quarter, despite significant headwinds in numerous industrial markets. Pat will discuss some specifics, but the bottom line is that we are happy about our diverse global business, in addition to new business initiatives that offset some of these challenges and allowed us to remain largely flat in revenue year over year. While we are not prepared to discuss the future too explicitly, we do believe that we will return to growth in the fourth quarter and are optimistic that many of our end markets that were down double-digit amounts in unit volume during 2024 will improve, and along with new business awards and historic backlogs in our equipment business, set us up for growth in 2025. Second, we continue to improve our overall margin profile, including a 60 basis point improvement in year-over-year gross margin. Our focus on execution and on investing in our best products and services continues to bolster our margin improvements and make them more sustainable. In addition, these margin enhancements helped offset some of the demand weakness and limited the impact of any negative flow-through. In the near term, we will continue to manage closely fluctuations in year-end demand, including a close eye on expenses and improved productivity initiatives, especially in our automotive and forging businesses. These adjustments will benefit us as we emerge into 2025. Third, we continue to use all tools available to us to reduce leverage. During the quarter, we sold roughly $25 million worth of common stock to support this initiative. These sales were led partially by myself and our family with a $4.5 million investment at $30 per share. We anticipate strong year-end operating cash flows and will continue to use stock sales opportunistically to help meet our debt reduction goals. Last but not least, I want to thank all of our Park Ohio team members. Our improving financial results are the result of taking care of our customers and all 6,000 plus of us committing to be a little better at our job each day. With this simple philosophy, we will build a stronger business not only for 2025 but for the next five to ten years and beyond. Thank you, and I will turn it over to Pat now to discuss the core.
Pat Fogarty: Thank you, Matt. Our third quarter results were highlighted by year-over-year sales growth in two of our three business segments and higher gross margins and adjusted earnings. Also, we repaid just over $23 million of debt, significantly increasing our liquidity during the quarter. Consolidated net sales of $418 million were flat compared to $419 million a year ago. In spite of a challenging industrial environment, we saw consistent demand in many end markets in our supply chain business, continued growth in our proprietary fastener manufacturing business, and improved sales in our capital equipment and aftermarket business, which was offset by lower revenues in our assembly components and forging businesses. Our consolidated gross margin was 17.3% in the quarter, up 60 basis points from 16.7% last year.
Pat Fogarty: On a year-to-date basis, our gross margin has increased 80 basis points to 17.1% compared to 16.3% a year ago. Year-over-year improvement was driven by the continued efforts to implement margin improvement initiatives across all businesses in addition to strong operational execution. On an adjusted basis, total consolidated operating income was $25 million, down slightly from $27 million last year and $26 million in the second quarter. SG&A expenses were approximately $48 million, representing 11% of net sales, compared to $43 million a year ago, with the increase driven by the SG&A expenses related to the acquisition of EMA Induction, completed in the first quarter, and higher employee-related costs. Interest costs totaled $12.1 million during the quarter, compared to $11.6 million last year, the increase driven by higher interest rates in the current year partially offset by lower borrowings.
Pat Fogarty: During the quarter, the income tax benefit on pretax income of $12.6 million was a result of recognizing certain discrete benefits related to federal R&D credits. We continue to implement tax planning initiatives to reduce our overall effective tax rate worldwide, and as a result, our current effective tax rate is expected to be approximately 15%. For the foreseeable future, we estimate that our core annual effective tax rate will be between 20% and 23%, reflecting the impact of these ongoing tax strategies. Our GAAP earnings per share of $1.02 was up 3% for the quarter, and our adjusted earnings per share of $1.07 increased 8% compared to $0.99 a year ago. Year-to-date, our adjusted earnings per share of $2.94 was up 15% compared to $2.55 in the same period last year. We generated EBITDA of $39 million in the quarter, which is in line with the third quarter a year ago. As a percentage of sales, our EBITDA margin was 9.2%. Year-to-date, our EBITDA has improved 10% over the same period a year ago, and we expect our full-year EBITDA as defined to be approximately $150 million, an increase of 12% over $134 million last year. During the quarter, we generated operating cash flows of $9 million, which was negatively affected by the timing of receivable collections in several of our businesses. We expect a meaningful reduction in working capital during the fourth quarter and expect our fourth-quarter free cash flow to be approximately $25 million. Also during the quarter, our liquidity increased 21% from the end of the second quarter and totaled $194 million, which consisted of approximately $59 million of cash on hand and $135 million of unused borrowing capacity under our various banking arrangements. During the quarter, we raised cash of $25 million through the sale of Park Ohio common shares and used the majority of the proceeds to pay down $23 million of bank debt. Turning now to our segment results. Supply Technologies generated sales of $195 million in the third quarter, compared to $193 million a year ago. Sales were higher year-over-year in several end markets, most notably in aerospace, defense, consumer electronics, electrical distribution, and medical equipment, which more than offset lower year-over-year sales in our heavy-duty truck and power sports end markets. In addition, sales in our fastener manufacturing business grew 9% year-over-year as global demand for our proprietary products continues to be robust. Operating income was an all-time record in this segment and totaled $20.5 million, an increase of 31% year-over-year. Operating margins were 10.5%, also an all-time record, and improved 240 basis points from 8.1% a year ago. The higher profitability in the quarter was driven by an increase in sales of higher-margin products, strong operational execution, lower operating costs in our supply chain business, and continued strong demand in our proprietary fastener business. On a year-to-date basis, sales in this segment were $594 million, and operating income was $59 million, both all-time records for the nine-month period. Segment operating margin was 9.9%, an increase of 220 basis points compared to last year. Our strategic focus in this segment continues to revolve around expanding operating margins, increasing sales in our industrial supply and aerospace and defense businesses, and expanding our proprietary fastener products into new applications, customers, and geographies. In our assembly components segment, sales were $99 million in the quarter, compared to $108 million a year ago, and $103 million last quarter. The year-over-year decrease in sales was driven by lower unit volumes and end-of-life programs and lower product pricing on certain legacy programs, which partially offset the sales growth from other OEM platforms.
Pat Fogarty: On an adjusted basis, operating income in the segment totaled $6.6 million in the current quarter and was generally in line with $6.9 million last quarter, with 6.7% operating margins in both periods. Compared to a year ago, profitability was down due to the lower product pricing on certain legacy programs and lower revenue on programs that ended last year. On a year-to-date basis, sales were $309 million in this segment compared to $331 million a year ago, and adjusted operating income margin was 7.2% compared to 8.6% a year ago. In this segment, we are focused on new business launches and continuous operational improvement. New business launches, which began during the third quarter, will incrementally add $50 million in revenue once full production levels are met, which we expect to occur by the middle of next year. We also continue to identify and implement product and plant profit improvement initiatives in each of our manufacturing facilities, which will enhance operating margins in future periods.
Pat Fogarty: In our Engineered Products segment, sales were $124 million and increased 6% compared to $118 million a year ago, driven by higher demand in our industrial equipment business, which was up 19% year-over-year. Year-over-year sales increase occurred in most regions, with notable strength throughout Europe, where revenues grew 32% year-over-year. In addition, revenue from aftermarket parts and services in North America was up 19% from last year. New equipment backlogs continue to be strong, totaling $161 million compared to $102 million at the end of last year. During the quarter, operating income in this segment was $5.2 million compared to $7.1 million a year ago. The decrease in profitability year-over-year was driven by the lower sales levels and lower operating margins in our Forged and Machine Products business, more than offsetting higher sales and improved profitability in our industrial equipment. In the year-to-date period, sales in this segment were $365 million, an increase of 3% compared to last year. Adjusted operating income was $16 million compared to $20 million a year ago. Also, corporate expenses totaled $7.8 million during the quarter, compared to $7.6 million last quarter. For the year-to-date period, corporate costs were $23 million in the current year compared to $22 million a year ago. And finally, with respect to our full-year guidance, we now expect current year revenue growth between 1% and 2% and revenues to grow in the fourth quarter year-over-year. Overall, we believe most of our end markets will be stable for the rest of the year. In addition, we now expect adjusted earnings per share to increase by more than 10% year-over-year and EBITDA as defined to be approximately $150 million, an increase of 12% compared to last year.
Matthew Crawford: Now I'll turn the call back over to Matt. Great. Thank you very much, Pat. We will now open the line for questions. We will now be conducting a question and answer session. If you would like to be placed into the question queue, the first question today is coming from Steve Barger from KeyBanc Capital Markets. Your line is now live.
Steve Barger: Hey. Good morning, Matt and Pat. Matt, I'm going to start on the gross margin. You know, you pointed out it's been running well. It's really the highest rate in about ten years. And you mentioned investing in your best products and services. Can you just expand on that?
Matthew Crawford: Sure. I mean, I think that we've been repositioning the portfolio for really going back to 2018 and 2019, and we've been doing it in several different ways. You know, I hesitate to use the word restructuring, but I think that we underwent a strategy to make our core manufacturing and distribution operations more nimble and more profitable, as I say, through the business cycle. As you know, we invested a lot in increasing productivity, whether it be plant closures or repositioning over a million square feet in the US. So we divested ourselves of some low-margin, high-capital businesses. So to begin answering your question, I want to talk about capital allocation and say the first horse at the trough, which I like to say, is making our business better and our earnings more sustainable. And that's true across the board. We like our portfolio. We like the businesses we're in. And, you know, we believe we can invest in those current business portfolios and be better at what we do to reposition ourselves for landing more business. And we're seeing that happen. We are absolutely seeing our new business pipelines get more robust every day. We've seen it in firm backlogs in the equipment business, but we've also seen it, I think, across the portfolio from automotive to the more diverse industrial businesses where we see a more robust pipeline of new inquiries and top-of-the-funnel action. So, first and foremost, I want to speak to that. Second of all, I think that we will continue to look at each of our businesses and really do a deep dive in understanding where the sustainable investment opportunities are. And, candidly, given the opportunity to invest in businesses that are not just high IRR but high margin. We've got some wonderful pockets in the business. I would highlight aftermarket in our equipment business. I would highlight adjacent markets like aerospace in our supply tech business. I would highlight some new business in the automotive segment that leans on some innovation that isn't new to us, but one plus one equals three in the extruded hose and bed metal space. So, I don't want to suggest that we're doing a different allocation broadly across the portfolio. What I'm saying is we're more cognizant inside each business of making sure we're investing for sustainable higher-margin businesses long term. Whether that be a new business or, again, the first horse at the trough is making our current businesses better. I think I've highlighted in the past, and I'll highlight again, we invested in vertical integration and mixing capacity in the automotive space. Again, that positions us for long-term sustainable growth. So I'm not using those terms to pick one business over the other. I'm using those terms to say we challenge each business unit to invest in their highest-margin, most sustainable innovations.
Steve Barger: Yeah. That's really great detail, and I appreciate that. And, you know, I think the flip side of the investments is, you know, restructuring sometimes or divestitures. Are there other lines of business that have gross margins consistently below the corporate average or which are unable to generate consistent cash flow where divestitures could be additive?
Matthew Crawford: Yeah. I would comment. Of course, I did leave out in my discussion one of the businesses we are most excited about, which is our fastener manufacturing business. So we have a number of bites at the apple relative to investing in what I say are our best products and services. I don't want to single anyone out or leave anyone out because we've got a lot of opportunities. But the answer is not in terms of our business portfolio. I would say yes in terms of inside the four walls of our business. Initiatives, again, around reshaping our ability to compete long term are undergoing full-time. Explicitly, I would say that we continue to close some facilities and sort of rationalize where and how we want to do business, but that's not about walking away from customers per se, although that may happen here and there. That's about making sure that we're serving our customers with the highest quality, lowest cost service to them on a total cost basis. So I would say we're tweaking. We're not necessarily broadly exiting parts of the business.
Steve Barger: Yeah. It's a good segue to my next question. In terms of closing some facilities, you have roughly 130. What is the right number of rooftops for the revenue that you anticipate without having too big of an impact on capacity or your ability to serve your customers?
Matthew Crawford: I'll let Pat think about it a second while I start. You know better than anyone the diverse nature of our business. Certainly, in the supply tech space, largely we have distribution centers, but some of those are absolutely locked at the hip with their key customers providing daily, if not hourly, services. So those are important locations and shouldn't necessarily be viewed in the context of a traditional manufacturing consolidation play. So as it relates to the rest of the business, again, I think we will continue to see opportunities to consolidate. Whether that be consolidating North American facilities or whether that be consolidating into lower-cost countries, whether they be in Southeast Asia or Mexico, etc. I'll let Pat jump in here, but I would say the answer is, absent acquisitions, we will have fewer rooftops next year than we have this year. Those opportunities still exist. Having said that, 110 sounds like a lot until you really peel back and understand the nature of the supply tech business. Doesn't mean we don't have opportunity. It means that that's a different business model than the high-cost manufacturing locations.
Pat Fogarty: Yes. Steve, this is Pat. I would add that this is a normal process that we go through and have gone through for many, many, many years. You know, as you know, we consolidated almost a million square feet of space over the last three or four years. Each of our business leaders is actively looking for ways to improve on our margins. It's somewhat fluid because customers move and change locations, and we have to react to that. But it's something that we do quite well, and we're experienced in it. And we're not afraid to do it. So if we have plants that are under-absorbed, for example, we're always looking for ways to consolidate into plants that may have the capacity to take on that business without losing market share, without losing customers. So to try and pin a number off the 130 is very difficult. But to Matt's point, to the extent that we've got excess capacity that cannot be filled, we will react pretty quickly. So and as all of our businesses grow, there's going to be opportunities to exit certain locations and move into higher, larger, more efficient operations.
Matthew Crawford: And, Steve, we're not trying to be loose with the answer. We have consolidated operations both in Europe and in the US during the quarter or during, excuse me, the third quarter. So this has happened. It just won't be as notable as maybe we did when we closed that million square feet, but it is absolutely an ongoing initiative in each of the business segments. And will continue to happen in 2025.
Steve Barger: Yeah. I know at some point, the rate of expansion has to slow. You have driven 300 basis points of expansion in tough markets over the last few years. And we're just looking forward to seeing you continue to pull those levers for additional improvements. So appreciate the time.
Matthew Crawford: Yeah. I think, Steve, I appreciate that. I think our next leg up on consolidated margin is going to have to be we will continue to benefit, I think, explicitly in the automotive business as we rebuild with new product initiatives, as I mentioned, at higher margins. And also, I think in continuing to improve the operations specifically in the Forge group. I mean, those are isolated opportunities for improvement going into 2025. That will move the needle. Supply tech has done a great job. We have a diverse portfolio for a reason. We expect great things out of them in 2025, but in terms of moving the needle, we're going to have to look at some of the other businesses as well. Because they've done a fabulous job in 2025.
Matthew Crawford: Or 2024. Excuse me.
Steve Barger: Understood. Thank you.
Operator: Your next question today is coming from Dave Storms from Stonegate. Your line is now live.
Dave Storms: Good morning.
Matthew Crawford: Yes. Hi, Dave.
Dave Storms: Just wanted to touch on the forge segment and, you know, improvement operations there. Is there anything more you could give us on maybe the outlook on forged, what operational improvement looks like there? You know, anything you could give us there would be very helpful.
Matthew Crawford: I think I've probably discussed over the last few, at least last two or three calls, the challenges in the Forge Group that I think are unique, and we've seen some of this in all of the engineered product group, including our equipment business. Some of the challenges that existed in the COVID and post-COVID environment, and I think I promised last time I'd never say COVID again. The kinds of employees and the kinds of knowledge that left the business have been the most difficult to replace anyone in our business. So I think I've talked openly about a hammerman in front of a forge. It's an art and a science losing decades and decades worth of experience. We are making progress. We are seeing incremental improvement month over month, and I expect 2025 to be a better year. But we have reason to be optimistic. But just to be clear, I don't anticipate that turning on a dime. I mean, we got a lot of work to do there. And, again, when those businesses are running well, they have proven to be our most sustainable highest margin businesses. And we have great exposure to great end markets, including aerospace and defense, including rail, some really nice long-term markets. Where we have good market share. But we have to get better at executing. It's not for lack of market opportunity. It's not for lack of demand. It's not for lack of customers. Not for lack of good assets. It's just we got to get better at executing. So we are getting better, but at the same time, I don't want to suggest to you or anyone that that is going to be as simple as a light switch or one quarter. We are improving, and I would anticipate continued improvement into 2025.
Dave Storms: Understood. And then just sticking with end markets, aerospace and defense has been a great tailwind for you guys. I mean, really, capitalize there. How do you see the runway for aerospace and defense? So is it a sustainable path that you're on? Or how do you view that?
Matthew Crawford: So let's back up and make sure we're talking the same language. Our aerospace exposure runs the gamut from defense and commercial and also aftermarket to OEM. So we have a tremendous amount of exposure across the customer base. I think in some of the longer lead time aftermarket stuff, we see backlogs that still extend through 2025. So I think we feel pretty comfortable. We've got some good runway there. You know, we've seen lead times shorten or evaporate on steel, especially specialty steels, which is a good thing in terms of our ability to execute. But we've got pretty good visibility there. I think on the supply chain side and more of the hardware business, I think that supply chains have been more challenged there. So while I think that as I think about over the next three years, and I think about OEMs like Airbus in particular, and some of their supply chain, I think we know it's going the right direction. I don't think we know per se if you know, what their, you know, they kind of keep moving their build rates around based on how they're managing their supply chain. So I think we feel pretty good about directionally where it's going. I don't know that we have wonderful visibility. I don't know that they have wonderful visibility. Obviously, we're pleased to see the machinists' strike settled, the 737 to get back to production levels here shortly in 2025 that are meaningful. So good news, but the visibility is a little less.
Pat Fogarty: If I would add one other point to Matt's comments. In the supply chain business, we operate a fantastic brand called Apollo Aerospace, which covers both commercial and defense. Locations in the U.S., Birmingham, England, France, Poland, and those locations were opened up to grow that business. And we expect to grow that business, not only with the OEMs but also the tier ones who assemble different modules for Airbus and others. So although the picture isn't very clear relative to build rates because of supply chain issues, our goal is to continue to grow that business by further penetration of some of the tier ones that we haven't had in the past.
Matthew Crawford: And I had one more thing, and it bears a little bit more on the equipment business. You've heard us talk a little bit about aerospace and defense and the equipment business. You know, a lot of that clarity, and we've got some great orders during the last year, year and a half. You know, I think a lot of uncertainty around the election sort of slowed that down. I'm not being political. I think either way, I think there will be some continued clarity around investments in the defense sector, which will help the equipment business. And again, how that in the forge business, by the way. Again, I'm not sure that's so political as it is just getting past the election.
Dave Storms: That's fantastic, caller. I appreciate that. And point completely taken on maybe some pent-up demand there post-election. It's sticking, kind of in US politics. Some of the rhetoric leading up to the election was around increased tariffs. Now that we have maybe a little more clarity on the potential for increased tariffs domestically, are there any parts of your business that you feel are uniquely exposed or uniquely positioned to take advantage of should that come to life?
Matthew Crawford: Well, again, our general business philosophy is to produce in the markets where we do business. Now, on the manufacturing side. On the supply chain side, we do rely on some important vendors out of Asia. Generally, that's not China. By the way, to the extent we want to talk about a specific area of interest for the president-elect, we don't import a ton of product out of China, so we don't see that as a risk. It's not a huge risk, but we do import a fair amount of our hardware out of Asia. So I'd say, generally, I think our expectation is that it will not be a significant impact on the business because of generally liking to produce locally. Having said that, we're decidedly a North American company. At the end of the day, 70% of our business is North American. So a strong investment cycle in North America is disproportionately good for us. So I don't know how that's going to play out precisely, but if trade policy allows for an investment cycle in manufacturing, in the energy grid, in defense, in rail, in semiconductors, you name it, that's just proportionally good for our business despite what kind of offset we might see a little bit of inflation on our supply chain. That's my opinion, and that's, I think, what we've seen over the last couple of years. Again, we've been this the steel industry, another good one. You know, these are important markets for us. So I think net-net, if whoever is in charge, if their goal is to help American manufacturing, those are our customers.
Dave Storms: Understood. That's great color. Thank you for taking my questions, and good luck in Q4.
Matthew Crawford: Thanks. Thank you.
Operator: Thank you. We have reached the end of our question and answer session. I'd like to turn the floor back over for any further or closing comments.
Matthew Crawford: Thanks. Thank you again for your time this morning. We again are excited about the performance, especially with some of the headwinds in some of our key markets. So it makes us optimistic for the future. Thank you very much. Bye-bye.
Operator: Thank you. That does conclude today's teleconference and webcast. You may disconnect your line at this time and have a wonderful day. We thank you for your participation.